Operator: Good morning and good evening. First of all, thank you all for joining this conference call. And now begin the conference of the Fiscal Year 2013 Second Quarter Earnings Results by LG Display. This conference will start with a presentation, followed by a division of Q&A session. (Operator Instructions). Now we shall commence the presentation on the fiscal year 2013 second quarter earnings results by LG Display.
Hee Yeon Kim: Welcome to LG Display’s second quarter conference call. My name is Hee-Yeon Kim, Head of IR Department. I would like to welcome everyone to our global quarterly earnings conference call. I am joined by our IR staff as well as representatives from TV Marketing. J.S. Park is heading up the TV Marketing department. Next slide please. People we move on to the earnings results, please take a minute to read the disclaimer. I would like to remind everyone that the results are based on consolidated K-IFRS accounting standards and are unaudited. This conference call will take about an hour. Before we go into the Q&A session, please allow me to highlight our Q2 results, performance and Q3 outlook. Moving on to revenue and profits on the next slide. Due to the seasonal demand growth, the panel shipment increased by 9% quarter-on-quarter, and there was a slight ASP decline in the second quarter. However, the blended ASP decline was significant since the small and medium sized panel portion decreased steeply, which also resulted in our revenue decline at around 3%. We recorded a quarterly revenue at KRW 6.6 trillion, down 3% quarter-on-quarter. Operating profit increased by 142% quarter-on-quarter at KRW 366 billion, due to the continual cost reduction and the improved productivity. As a result, the depreciation cost reduction compared to Q1. Operating profit margin was 6%, EBITDA margin was 20%. Income before tax was KRW 162 billion, and net income was KRW 105 billion. Moving on to slide four, looking at our financial positions and ratios. At the end of Q1, cash and cash equivalents was KRW 2.9 trillion, similar to Q1. Inventory recorded at KRW 2.4 trillion, down KRW 133 billion quarter-on-quarter. Our balance sheet has improved continuously with the enhancement of our profitability. Liabilities to equity ratio recording 118%, net debt to equity ratio recording 11%, current ratio also improved right into 113%. Moving on to slide five, and looking at our cash flow. Cash at the beginning of the quarter was KRW 3.1 trillion. Cash flow from operating activities resulted in cash inflow of KRW 1.3 trillion. Cash flow from investing activities resulted in an outflow of over KRW 826 billion, and cash flow from financing activities resulted in an outflow of KRW 630 billion. As a result, the net change in cash was outflow of KRW 124 billion. Moving on to slide six, I would like to go over our performance highlights. During the second quarter, our shipment increased by 9% quarter-on-quarter to 8.9 million square meter. ASP per square meter decreased by 15% quarter-on-quarter to $657, due to the significant decline of the small and medium-sized panel portion. ASP per square meter of the small and medium-sized panel is much higher than that of large-sized panels. Moving on to our product mix on slide seven. The TV segment represents 51% of our revenues, monitors at 21%, notebook at 11%, tablet at 7%, and mobile applications at 10%. Since our major smart device customers new product launches are mainly scheduled for the second half of this year, tablet and smartphone portion declined in Q2 compared to Q1. TV portion load significantly in the second quarter due to the increase of the larger special LCD panel shipment, as well as the increase of TV panel shipment to China. Moving on to slide eight and looking at our capacity. Our producible capacity increased by 3% quarter-on-quarter. During the quarter, we were able to convert some capacity for panel production, which was previously used for R&D activities. Compared to Q1, the working day increase in Q2 also affected the capacity increase. Next we come to our outlook section. We expect the shipment increase in third quarter is likely to be in low to mid single-digit percentage since the significant shipment increase in tablet and smartphone segments are anticipated. ASP is likely to decline for a short-term but is anticipated to stabilize from the mid quarter. Actually thanks to the tablet pc and smartphone volume increase and mild ASP decline actually we are anticipating our blended ASPs likely to increase significantly in third quarter. We understand that there is some concern in the market related to the termination of the subsidy program in China, and how this would affect the demand. We believe these issues to potentially lead to the unit-based demand decline in the second half to a certain degree, however the area-based demand is likely to be increased since the size migration is continually taking place. We expect that the capacity increase in the second half compared to the first half will be limited, and there will be better seasonality in the second half versus first half. Lastly, we will mention our strategy. As the LCD industry has entered the slow growth phase, we are going to put forth an effort to continually implementing the differentiated product strategy, which will mainly focus on increasing the carryover of each product unit. In case of our LCD TV, we have been executing high end product strategies so far with the introduction of 84-inch panel last year, and 65-inch and 55-inch panels in June this year. Going forward, we will try to diversify our model lineup to respond to both high end and mid end market needs. Regarding tablet and smartphone segment, we will launch various high resolution, slim and narrow bezel products to maintain our leadership position in the market. Regarding OLED, our ultimate differentiated products, we will continually focus on obtaining on OLED business space that would generate profit from this business as early as possible. In case of OLED TV, the yield rates has been continually improved in line with our internal plan, and the setting up of the second OLED fab which is M2 has been carried out on schedule. Regarding the plastic OLED domestic production, we’ll start in the middle of second half. In order to effectively catering on our differentiated products strategy, our capital spending will be focused on OLED and LTPS and other advanced display effects. This year, about 80% of our CapEx will be spent on these areas. And also our CapEx amount should be similar to last year, which is at around KRW 4 trillion. This ends our presentation for second quarter, and I would be delighted to take your questions. To use the time efficiently, please limit to three questions per person. Operator, please proceed to Q&A session.
Operator: Now Q&A session will begin. (Operator Instructions). The first question will be presented by Mr. Brian White from Topeka. Please go ahead sir. Mr. Brian, please go ahead with your question.
Brian White – Topeka Capital: Yes. The ASP decline of 15%, I just want to be clear, that’s all from tablets and smartphones?
Hee Yeon Kim: Actually if we look at across the ASP declines, we see is at around 2% in the second quarter. However, as you already know, that our ASP per square meter for small-sized shipments in tablet and smartphone you see even though we had it around seven to eight times, so the reduction of these small sized sales decline gave us our ASP decline at around 15%. Actually decline which is 2% and the remaining 13% comes from the – our revenue mix.
Brian White – Topeka Capital: Okay, that’s helpful. And when we think about – you said in the third quarter you expect a significant increase in tablet and smartphones. Number one, will those be your strongest markets in the September quarter, and when you say, significant, are we talking of you know 10% or are we talking of 50%?
Hee Yeon Kim: Actually if you look at our sales mix, our second quarter tablet sales portion declined significantly. Right now, our tablet and smartphone sales mix declined significantly. Now we are expecting that kind of mix will be similar as the first quarter. So you can reasonably assume our increase in third quarter, based on our sales mix right now.
Brian White – Topeka Capital: Okay. And finally, China, so the China subsidy program ended at the end of May. Do you – is this going to have a meaningful impact you think on the third quarter, meaning, is there excess panel inventory in China because this subsidy program was allowed to expire?
J.S. Park: In short term for Q3, it will impact us but I don’t think it will impact Q4 and even next year. And you mentioned excessive inventory in China. That means retailer or cell maker or panel maker?
Brian White – Topeka Capital: Everyone?
J.S. Park: Everyone.
Brian White – Topeka Capital: If no one is buying, it impacts everyone.
J.S. Park: As I know panel makers inventory level is normal. And cell maker – it depends on brand, as I know just one brand has excessive inventory, and most of our customers inventory level is slightly higher than normal. So our customers doesn’t care the inventory level now. They just care the weak demand in the short-term before October 1st holiday.
Brian White – Topeka Capital: Okay, right. Thanks a lot.
Operator: The next question will be presented by Mr. Nicolas Gaudois from UBS. Please go ahead sir.
Nicolas Gaudois – UBS: Good evening. It’s Nicholas from UBS. Maybe just a follow-up to start on the ASP question. Will it be possible to just have an order of magnitude or how we look with these mobile tablet ASP per square inch barrier versus TV, just to get an order of magnitude of you know how the mix can indeed affect so significantly in your case the ASPs in a given quarter?
Hee Yeon Kim: As I already mentioned, the ASP per square meter for mobile interface is quite high because it is quite expensive at this stage. ASP per square meter usually for smartphone is as high as seven to eight times is the usual base.
Nicolas Gaudois – UBS: Sorry, I wasn’t sure I understood correctly. That’s perfect. And on – the second question is on the cost side. I mean if you – even if you strip out the position you had, COGS coming down quite nicely. We obviously had about 15% decline in the Korean won to yen in that quarter sequentially. So leaving aside hedging, how much of that COGS decline came from a) currency affecting your supply from Japan on your side in terms of COGS and b) actual price reductions like-for-like in these areas or anything else in terms of efficiency, glass efficiency on that of course. Thank you.
Hee Yeon Kim: Actually yen weakness was helpful, however when you are looking at our – you know material portion of yen transition is not that high, actually it is 10% to 15% of our yield material, so the impact was not that high.
Nicolas Gaudois – UBS: Okay. So that’s won and when – if you were to balance basically improvements in efficiency, you talked about the Korea meeting versus just price declines for ex-currency obviously for glass, polar iso et cetera, I mean how should we think about it?
Hee Yeon Kim: Hello?
Nicolas Gaudois – UBS: Yes.
Hee Yeon Kim: Could you ask again your question? I don’t understand what you mean exactly.
Nicolas Gaudois – UBS: Sure, sure, of course. Since you know you had an understanding the yen factor was not that material, how should we think about the importance in COGS, cost reduction of on one side improved combined efficiency and on the other side actual reductions in constant currency terms of pricing goods for glass and the raw materials?
Hee Yeon Kim: Let’s put it in this way. If you look at our costs of goods sold percentage or our GP margin improvement, actually 40% or 50% comes from our depreciation cost reduction, and the remaining 20% comes from our matured cost reduction, and also remaining 20% or 30% comes from our yield improvements.
Nicolas Gaudois – UBS: Okay, that’s great. And last question, if you – so you guided for area low single-digit to mid single-digit increase, obviously with [inaudible] we have quite an increase in the mobile side. So if I was to leave the mobile side aside and just focus on large panels, how should we think about the third quarter?
Hee Yeon Kim: If we take our mobile and tablet side, we think the large sized TV shipment should be flat quarter-on-quarter. Is it the correct answer for your question?
Nicolas Gaudois – UBS: Yes, I think it’s fine, thank you very much.
Operator: The following questions will be presented by Mr. Brian White from Topeka. Please go ahead sir.
Brian White – Topeka Capital: Yeah. I’ve just got a question on the others, if you look on the income statement you had others of – looks like KRW 288 billion. What is that?
Hee Yeon Kim: Others, your question is related to recurring profits, but actually our recurring loss increased.
Brian White – Topeka Capital: Yeah, what – so just explain what that is 288.716?
Hee Yeon Kim: That was number one with our FX related provision loss. Actually we have US$2.5 million debt, won dollar rate changed, it was around 41, so we have KRW 100 billion FX related provision loss, and also we have interest expense at around KRW 30 billion. And the remaining was our reserve amount related to antitrust issue.
Brian White – Topeka Capital: Okay. And the FX gain was just what, straight in or –
Hee Yeon Kim: FX loss, FX provision loss.
Brian White – Topeka Capital: Okay. And the TV market versus the PC market in the third quarter, what do you think will outperform? TV will do better than PC or PC will do better than the TV market in the third quarter?
Hee Yeon Kim: Actually demand itself there is some seasonality. However, nobody wants to carry inventory at the expectation of the seasonality. So order trend is similar, but in our basic assumption for the third quarter, I think it is slightly – I think it’s better than TV because –
Brian White – Topeka Capital: Okay, so…
Hee Yeon Kim: Because in second quarter there is no specific demand event for the IT side, but in case of TV there is some specific events coming – came from China side. There is some inventory adjustment for shorter periods. So looking at the number, usually the number itself IT is better than TV.
Brian White – Topeka Capital: Okay. So TV will actually go down quarter-on-quarter?
Hee Yeon Kim: It’s almost flat because our guidance is – yeah, it is almost flat.
Brian White – Topeka Capital: Okay. And just when you look at the smartphone market in the second half of the year, are you seeing 5-inch smartphones becoming more prevalent in your portfolio, when you are ramping for customers are you seeing an increasingly number of 5-inch phones in second half versus first half or is it about the same?
Hee Yeon Kim: If you only focus on the 5-inch segment, yes, 5-inch demand was much higher than first half. However, the 5-inch is not a major product for us.
Brian White – Topeka Capital: Okay, great. Thank you.
Operator: Currently there are no participants with questions. (Operator Instructions). The next questions will be presented by Mr. Ben Lu from Seligman Investments. Please go ahead sir.
Ben Lu – Seligman Investments: Hi Hee, thanks for the call. I have a few questions. One just housekeeping, can you talk about how depreciation will do in Q3 and Q4?
Hee Yeon Kim: In Q3 we also have some depreciation expense reduction, this will be around KRW 60 billion or KRW 70 billion. And then the depreciation will come back to maybe second quarter level.
Ben Lu – Seligman Investments: Okay. And then if I exclude the depreciation reduction of about KRW 150 billion in Q2 and I think the FX expenditure of about roughly KRW 100 billion, it looks like your core operating profit was down sequentially. Can you talk about what drove that?
Hee Yeon Kim: Yeah, definitely that’s true. Actually, as we already witnessed our tablet and mobile sales declined significantly. With this kind of sales reduction and sales loss, our other business in this, with this kind of sales from the small-sized market device, our business such as monitor, and notebook size they should – that divisions earnings should improve significantly.
Ben Lu – Seligman Investments: Okay. So what’s – small and mid-sized panel rate as piece up significantly next quarter, that should get back to profitability?
Hee Yeon Kim: Yes.
Ben Lu – Seligman Investments: Okay, great. And also then just in terms of some of the new capacities that you are talking about in terms of China fab, is that still on track to ramp in sometime middle of next year despite the end of the China subsidies?
Hee Yeon Kim: Yes, we will do our time for the China fab. Actually we don’t expect the subsidy program could impact the China men for that kind of long time. The subsidy program impact will be a short term issue within this year.
Ben Lu – Seligman Investments: Great. And Hee, can I ask one last question?
Hee Yeon Kim: Yes.
Ben Lu – Seligman Investments: And are you seeing any LCD driver, IC issues for small to mi-sized panels?
Hee Yeon Kim: Actually, we also read the kind of news article. However, our order trend will not impact that kind of news articles, so we don’t know.
Ben Lu – Seligman Investments: So there is no issue with producing retina display on amorphous silicon panels, right?
Hee Yeon Kim: We don’t have any issue for our all kind of product only for the retina display.
Ben Lu – Seligman Investments: Right.
Hee Yeon Kim: We don’t have any issue.
Ben Lu – Seligman Investments: Thank you so much. Okay, great. Thank you.
Operator: The following question will be presented by Ms. Vivian Tan from Alliance [First Time]. Please go ahead ma’am.
Unidentified Analyst: Hi, thank you for taking my question. So first of all, my question is about your utilization rate in third quarter. Could you comment about – are you going to change your current utilization rate in third quarter?
Hee Yeon Kim: As I already explained our utilization ratio in second quarter was similar to around 90% in second quarter. And third quarter as you know, our TV utilization ratio should have been lower. But as we already mentioned, our small-sized volume should kick in significantly, utilization ratio should increase.
Unidentified Analyst: Okay. And my second question is regarding to blended ASP. I know on your guidance you are saying that the ASP will drop from quarter, but is that for the like-for-like basis? Because if you’re considering the blended mix change, if you look at the AC from the blended perspective, do you think because things smartphone and tablets their per inch, per square meter ASP is much higher, so if the blended ASP will also drop or you think what kind of direction the blended ASP will go?
Hee Yeon Kim: That’s a very good question. Actually, our guidance is based on the FY to FY basis, FY to FY basis our expectation for the price should decline a bit. However the blended rate should increase meaningfully in third quarter that’s by sales increase from smart devices.
Unidentified Analyst: Okay. And my last question is your third quarter capacity, do you expect capacity to further grow or are you seeing capacity will be relatively flat quarter-on-quarter?
Hee Yeon Kim: Third quarter capacity should be flat sequentially.
Unidentified Analyst: Okay, thank you very much.
Operator: Currently there are no participants with questions. (Operator Instructions). The next question will be presented by Mr. Ben Akrigg from F&C Asset Management. Please go ahead sir.
Ben Akrigg – F&C Asset Management: Hi there. Can you talk about your LTPS capacity expansion; you know 60 fab is due to come on early Q4 I think. How quickly are you ramping that, it was supposed to grow to double your capacity and clearly your main plant is unlikely to do all the handset shipments in say the first half of next year compared to the second half of this year. So kind of how you are going to ensure utilization is high enough to make it reasonably profitable?
Hee Yeon Kim: Actually we are planning around 50% of the percentage will be direct sales in Q4 and then the remaining will be done in accordance with our order increase. In this 50% we will invest in Q4 this year.
Ben Akrigg – F&C Asset Management: And the utilization will be 80%, 90% with that schedule you think?
Hee Yeon Kim: Actually, based on our 50% ramp up schedule, utilization ratio should be full.
Ben Akrigg – F&C Asset Management: Okay. What’s happening to pricing for the fair value smartphone and tablets panels? Obviously, you know you compete to a large extend with Japanese companies and they obviously seem to have currency benefit recently. In addition, both you and the Japan supplier expanding LTPS capacity significantly, Sharp seems to sorted out some yield issues on these suppliers outside fabs. So you know that multiply and your competitor got a better currency tailwind, so what’s happening to pricing in that case?
Hee Yeon Kim: Actually we cannot mention about the pricing issue for now, as we have very limited customer base for that product that you mentioned this time.
Ben Akrigg – F&C Asset Management: So in general, is there lots of pressure or is it being offset by continued kind of resolution in rates.
Hee Yeon Kim: Actually we don’t expect any price – severe price pressure at this point.
Ben Akrigg – F&C Asset Management: Okay. And in terms of your OLED your M2, you’re switching that from an existing amorphous silicon facility, I believe. Can you mention how much amorphous silicon you are taking out over the next few quarters and how much OLED capacity will be added to these?
Hee Yeon Kim: Actually we already – we already announced that 26,000 in 10 PA 3 facility for OLEDs partition in 18 months, but in case of oxide conversion to meet the kind of 26,000 partition facility we have two scenarios, one is 26,000 expansion and second scenario is step-by-step pace to mid 26,000 partition. So the migration speed will depend on the LCD demand situation. Actually we have to consider the training cost for the most of the LCD capacity. So maximum capacity for OLED should be 26,000. Our LCD capacity conversion will be determined by the LCD demand situation.
Ben Akrigg – F&C Asset Management: Okay. And when do you envisage that 26,000 of I read high level of that being fairly fully utilized, do you with your clients have a product roadmap?
Hee Yeon Kim: Actually the full ramping up period is not decided yet because it is sort of dependent on yield improvements. So we will give you more clear idea maybe first half of next year, because our ramping up timing for second OLED facility is in the middle of next year.
Ben Akrigg – F&C Asset Management: Okay. And I suppose if I can sneak in a final quick question just on the depreciation side. You said the Q4 to depreciate to a level which is just a bit under KRW 1 trillion. Would that be increasing through the best part of next year, assuming you have more LTPS capacity but then again I guess some of your ageing capacity you are adding in 2010 will roll off. So in aggregate, will depreciation be kind of trending flat or trending high or lower to your –
Hee Yeon Kim: It’s really only measure of our that actually our CapEx for this year is KRW 4 trillion.
Ben Akrigg – F&C Asset Management: Yeah.
Hee Yeon Kim: And next year CapEx should be similar or smaller than this year, and then we also have another depreciation closing trend for second age generation first quarter next year. So…
Ben Akrigg – F&C Asset Management: First quarter did you say?
Hee Yeon Kim: First quarter next year. So with this kind of combination, actually our depreciation expense should decline next year. But for this point, we want to get back with the correct numbers.
Ben Akrigg – F&C Asset Management: Okay. And when you say CapEx might be slightly lower next year, did you say?
Hee Yeon Kim: For now we expect.
Ben Akrigg – F&C Asset Management: Yeah, okay. Thank you.
Hee Yeon Kim: Our CapEx will be mostly focused on the new facility, they are already converted to more LTPS conversion, and our actually investment should be [inaudible], so for now we only have second phase over the facility, so our CapEx will not be that high next year.
Ben Akrigg – F&C Asset Management: Okay, thank you very much.
Operator: Currently there are no participants with the questions. (Operator Instructions). The next question will be presented by Mr. Ben Akrigg from F&C Asset Management. Please go ahead sir.
Ben Akrigg – F&C Asset Management: Hi. So if you have got some time I will sneak in another question. In terms of the increase in Q3 volumes from the higher value mobile and tablet display, there is obviously a lot of rumors back and forth about kind of little piece, whether or nothing is all going to be delayed. How backend loaded do you think the increase in higher value panels will be during Q3 or are you seeing it in the first part of Q3? I mean are you actually genuinely seeing the orders going through now or is it your expectation at this stage?
Hee Yeon Kim: Your question is our shipment will be mostly in the OLED in second half of third quarter? That’s your –
Ben Akrigg – F&C Asset Management: I – you know there is a whole lot of people out in the same world, some of your major clients products are delayed, and be more in Q4 and Q3. Are you actually shipping – are you seeing an increase in shipments by here now in July or is it – hope that you’ll be seeing shipments and it’s not happening yet, but hoping it will happen in August and September?
Hee Yeon Kim: Some product shipment is already start, some product is not yet, so most of the product shipment will be done in the middle of the third quarter.
Ben Akrigg – F&C Asset Management: So when you are saying that the mix will return to the similar mix that you had in Q1, is that kind of a best case scenario or you know is it a meaningful downsize to that kind of guidance?
Hee Yeon Kim: Actually in third quarter, our third quarter the mix should be similar to the quarter one or Q1. Q1 is already back in our customers for the reduction.
Ben Akrigg – F&C Asset Management: Yeah.
Hee Yeon Kim: So the question is blend for Q1, our true position to be similar to Q4 last year.
Ben Akrigg – F&C Asset Management: Okay. Thank you.
Operator: The following questions will be presented by Ms. Vivian Tan from Alliance Firstime. Please go ahead ma’am.
Vivian Tan – Alliance Firstime: Yes, I have a follow-up question on your outlook in second half. So do you think the peak season for two quarters for this year will be the third quarter or you expect a seasonal pickup in first quarter? Do you think this year will follow the normal pattern in terms of seasonality?
Hee Yeon Kim: Our total sales is very tough to call, we expect our peak period should be September, October and November. For now, it’s very difficult to expect December, usual December inventory corrections, level of inventory corrections. Usually Q4 is higher than third quarter. We still believe Q4 should be better than third quarter.
Vivian Tan – Alliance Firstime: Okay, thank you. Yeah, that’s my question.
Operator: Currently there are no participants with questions. (Operator Instructions). Currently there are no participants with questions. The following questions will be presented by Mr. Ben Akrigg with F&C Asset Management. Please go ahead sir.
Ben Akrigg – F&C Asset Management: When do you think you will be in a position to ship oxide-based displays for tablets?
Hee Yeon Kim: Our tablets, we are in development stages. The smartphones we will ship in –
Ben Akrigg – F&C Asset Management: Do you think it’s likely the first half of the next year or second half of next year, the tablet shipment?
Hee Yeon Kim: We cannot mention about it, please understand, okay.
Ben Akrigg – F&C Asset Management: Is that coming – I am not asking about orders from the client side, I just want to know our own capabilities I mean how long does the development phase take that?
Hee Yeon Kim: Actually…
Ben Akrigg – F&C Asset Management: When would you…
Hee Yeon Kim: Product ready, the time our product ready will be determined by technology and the customer value. Actually when you look at the technology side, we are ready. However, when you look at the oxide tablet, our cost increase should to be meaningful. So the cost increase versus customer value sets our decision point to start to the production, so that’s not –
Ben Akrigg – F&C Asset Management: And when you say meaningful, I mean you know 50% or 100% tie-up for the normal 10-inch panel? What kind of magnitude of increase?
Hee Yeon Kim: We can’t give you that kind of answer. When we release the product launching time, you will give all information about this.
Ben Akrigg – F&C Asset Management: Okay. Thank you.
Operator: Currently there are no participants with the questions. (Operator Instructions).
Hee Yeon Kim: Operator, if there is no further question, please end the Q&A session.
Operator: Yes, you may.